Operator: Good day, everyone, and welcome to the Littelfuse Second Quarter 2023 Earnings Conference Call. Today's call is being recorded. At this time, I'd like to turn the call over to Head of Investor Relations, Trisha Tuntland. Please proceed.
Trisha Tuntland: Good morning and welcome to the Littelfuse second quarter 2023 earnings conference call. With me today are Dave Heinzmann, President and CEO; and Meenal Sethna, Executive Vice President and CFO. Yesterday, we reported results for our second quarter and a copy of our earnings release and slide presentation is available in the Investor Relations section of our website. A webcast of today's conference call will also be available on our website. Please advance to slide two for our disclaimers. Our discussions today will include forward-looking statements. These forward-looking statements may involve significant risks and uncertainties. Please review yesterday's press release and our Forms 10-K and 10-Q for more detail about important risks that could cause actual results to differ materially from our expectations. We assume no obligation to update any of this forward-looking information. Also, our remarks today refer to non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measure is provided in our earnings release available in the Investor Relations section of our website. I will now turn the call over to Dave.
David Heinzmann: Thank you, Trisha. Good morning and thanks for joining us today. Let's start with highlights on slide four. While our second quarter financial results were below our expectations, our global teams delivered solid results, driven by our strong operating fundamentals within an ongoing dynamic environment. Design in activities remain quite robust, and we secured significant new business in sustainability, connectivity and safety applications and continue to advance our strategic investments in high-growth end markets. Our strong overall performance to date in 2023 reflects the resiliency of our business model. I am confident with our diverse technologies and capabilities and the strength of our execution continue to position us to deliver on our long-term growth strategy. Together, our global teams have achieved significant performance within our strategy and I want to extend my gratitude to our associates for their unwavering dedication and remarkable contributions. Meenal will provide additional color on our financial performance and outlook. As announced in June, we entered into a purchase agreement to acquire a 200-millimeter wafer fab located in Dortmund, Germany from Elmos Semiconductor. This acquisition is an important element in our long-term growth strategy for power semiconductors. Key to our sustained success in expanding our portfolio of technologies and growing internal capabilities to enable us to meet the increasing demands of our customers and high-growth power conversion applications. This strategic investment will expand our long-term business opportunities in industrial end markets like renewables, energy storage, automation, motor drives, power supplies, and e-mobility off-board charging infrastructure. The Dortmund fab will complement our current footprint, adding a highly skilled technology team, extensive 200-millimeter manufacturing and development experience and an efficient high-quality wafer processing operation. We are excited about the future prospects with our combined teams and capabilities, which I am confident will continue to position us for long-term profitable growth, consistent with our strategy shown on slide five. Moving on to sustainability. We recently published our 2022 report, which is available on our website. Slide six provides an overview of our 2022 highlights. We believe we have responsibility to our customers, employees, investors and the communities where we live and work to conduct our business in a thoughtful sustainable way. I am proud of the efforts of our global teams who everywhere, every day, help to create a culture that embraces diversity solutions and sustained success as we make ongoing progress on our continuous improvement journey, which will continue to play an instrumental role in the growth and advancement of the company. We are proud of our achievements and remain committed to the long-term value of a robust ESG strategy. Before we get into business design wins, I would like to start with the market and customer dynamics we are seeing. Taking a step back, our company's end market exposure remains highly diversified, balanced and broad. Where we are selling into industrial markets, we are seeing strong growth across passenger vehicle markets. We achieved double-digit content outgrowth across our product portfolio. Design activity remains robust and we are capturing new business with our differentiated capabilities and intensifying focus on enabling applications around sustainability, connectivity, and safety. Our execution is accelerating the rate of new business wins and expanding the product content with leading customers, which positions us well for the future. End market demand remains healthy across many of our end markets. We are seeing value creation and strong demand driven by our strategic positioning within renewables, industrial automation and safety, medical, specialty high-end power supplies, cloud computing to support artificial intelligence applications and electrification of vehicles and their charging infrastructure. We continue to see inventory destocking across parts of our electronics, commercial vehicle businesses. With our lead-times coming down and current POS levels, we expect this to continue through the year as customers adjust their inventory levels to a more stable demand. Given that many of our end markets are in a growth trajectory, this will continue to help moderate the transitory destocking that is taking place. I'm particularly proud of our strong year-to-date performance as we continue to leverage our sound business fundamentals to successfully navigate the varying end markets and inventory management trends across our businesses. Our global teams remain focused on driving long-term growth, profitability, and cash generation. We continue to actively manage costs to align to business conditions while also advancing our strategic initiatives across the industrial, transportation and electronics end markets we serve, demonstrating our ability to balance short-term cost optimization and long-term strategic investments. Looking ahead, I am confident that our global execution will deliver long-term best-in-class financial results consistent with our growth strategy. Now, let's move on to business design wins during the second quarter. For industrial end markets on slide seven, our leading technologies are critical for empowering greater sustainability and safety. The ongoing focus on renewables is expanding the requirement for our reliable products. During the quarter, we leveraged our deep customer relationships and technical expertise to secure significant business in combiner boxes for solar and battery storage systems. Given the breadth of our product portfolio, we also see substantial new business opportunities related to government-funded initiatives and infrastructure investments that support electrification. We won business with several of our solutions for a construction project, for a battery plant, the major automotive manufacturer. Our high-power solutions capture business with customers in their energy management systems. Within industrial safety, our leading product performance and application knowledge won us additional business for commercial kitchens with major retailers. We also grew our business in HVAC and industrial motor drives based on our customer relationships and expansive offerings. Our differentiated capabilities position us well to partner with customers to meet their increasing requirements than the global structural themes of sustainability and safety, which will continue to drive our long-term growth. Turning to our transportation end markets on slide eight. We continue to see meaningful product content opportunities driven by the ongoing push towards greater sustainability, connectivity, and safety. In passenger vehicles, our new business opportunity pipeline is robust, given the increasing complexity related to the electrification of platforms. During the quarter, our differentiated high-voltage product features and technical support delivered wins for onboard chargers and high-voltage power distribution. For our electrical sensor products, we are seeing intensifying design activity for battery management systems and drive applications. Our technical capabilities and innovative solutions won significant business with a multinational automotive manufacturer. We captured business by leveraging our proprietary technologies and unmatched designs to grow our presence in conventional low-voltage applications. Within electronification, as it relates to safety, our design expertise and broad portfolio won business within in-cabin cameras and for hands-on detection applications. Across commercial vehicle applications within electrification, our design capabilities and innovative solutions secured significant business for high-voltage power distribution modules in construction equipment and battery management systems in two and three-wheelers. In broader commercial vehicle markets with our local engineering support, we continue to increase our product content in agricultural equipment applications. EV charging infrastructure expansion efforts continue to accelerate with the electrification of transportation applications. With our broad range of solutions, we secured significant global business with our power semiconductors, electronic components and fuses. Solutions from our Western Automation portfolio further expand our new business opportunity pipeline. Given the intention to make charging infrastructure more accessible and widespread on a global scale, we're extremely well positioned with our comprehensive technologies to participate in the proliferation of stations worldwide. Moving on to slide nine. In electronics end markets, we continue to engage in very robust design activities, customers focus on meeting future needs across the structural growth themes of safety, connectivity and sustainability. Our global reach and superior design support are accelerating demand for our reliable products. We won a global business for life-saving medical devices across some multiple applications, including a wearable defibrillator and in an implantable device. Connectivity requirements are driving wins across data centers, including for our C&K Switch portfolio for communications infrastructure. We expect opportunities like these to become more prevalent as high-performance computing for machine learning and AI expands requirements for next-generation platforms. We are seeing good success with cross-selling C&K products to Littelfuse customers. Sustainability continues to drive wins in power supplies for power tools and LED lighting. Our pipeline of new business opportunities remain strong, and our global teams are positioned to support customers, which will continue to expand our electronics content across diverse applications with a focus on sustainability, connectivity and safety. We continue to generate robust design win momentum and the array of new business wins we have secured spans a wide spectrum of end markets, applications and geographies, highlighting our global capabilities and footprint. Through engaging closely with our customers' engineering teams, our collaborations have been instrumental in expediting next-generation product development and design-in activities. With the organic growth stemming from these new business activities, complemented by our strategic acquisitions, we are confident that our long-term growth trajectory will be further fortified and sustained. I will now turn the call over to Meenal to provide additional color on our financial performance and outlook.
Meenal Sethna: Thanks Dave. Good morning everyone and thank you all for joining us today. Please turn to slide 11 to start with our second quarter results. Revenue of $612 million, was down 1% and down 8% organically versus last year. Acquisitions added 7% of growth. GAAP operating margins were 15%. Adjusted operating margins were nearly 17% and EBITDA margins were 22.5%. For the first half of this year, we've delivered adjusted operating margins just shy of 18% and EBITDA margins of 23.6%, continuing to drive results in our targeted margin ranges. Our strong margin performance reflects our portfolio diversification efforts across both end markets and technologies, expansion of our partnerships with customers and distributors and continued focus on operational excellence. Second quarter GAAP diluted earnings per share was $2.79 and adjusted diluted EPS, $3.12. Adjusted EPS finished lower than projected due to a combination of the drop-through from slightly lower sales than expected, unfavorable non-operating items, partially offset by some reductions in operating expenses. Our GAAP effective tax rate was 18%. The adjusted effective tax rate was 17.4%, which was higher than projected. The combination of the higher tax rate and unfavorability from non-operating investments reduced EPS by $0.09. Operating cash flow in the quarter was $98 million, and we generated $82 million in free cash flow. Year-to-date, we generated $110 million in free cash flow, yielding a 69% conversion rate. We reduced inventory levels through the first half of the year, contributing to our solid cash flow performance. We expect to drive both a higher cash generation and free cash flow conversion rate in the second half as per our typical seasonal patterns. Our capital structure remains very strong, ending the quarter with 1.4x net debt-to-EBITDA leverage. We remain both disciplined and consistent in our capital allocation. We continue to prioritize organic and inorganic opportunities, driving ongoing growth and returns while ensuring return of capital to our shareholders. Our Board of Directors approved an 8% increase in our quarterly cash dividend equating to a $2.60 annual rate. We've grown our dividend 12% on a compounded annual basis since inception, a testament to our long-term earnings trajectory and cash generation power. Moving to our second quarter results across our segments, please turn to slide 12. Electronics sales were down 2% year-over-year and down 13% organically. The delta being the C&K acquisition. Operating margins were nearly 23% and EBITDA margins ended at 28.5%. While transitory inventory destocking has impacted our near-term growth trajectory, we continue to see underlying growth drivers across our portfolio. In the quarter, we continued our positive momentum across industrial, medical, and renewable applications, and also auto electrification themes. Along with the operational groundwork we've laid over time, we've maintained strong margin performance in a challenging market environment. Turning to the transportation segment on slide 13, sales were down 5% overall and down 6% on an organic basis. We saw divergent trends across end markets with our passenger vehicle business growing 7%, a significant driver of the double-digit content outgrowth we realized across the breadth of our automotive portfolio. Our commercial vehicle business was down 17% on an organic basis. While end market growth continued, we saw higher-than-expected inventory destocking across our customers. Segment operating margins finished just under 5% and EBITDA at 11%, below our expectations. Weaker sales and related volume deleverage across our commercial vehicle business slowed down our expected margin improvement. We are taking actions to reduce costs further, expand the scope of our operating footprint shifts, and optimize product and customer profitability. We are also progressing on our integration initiatives to overcome the margin dilution from the Carling acquisition. We remain committed on driving an improved segment margin trajectory to our mid-teens margin target. Across our industrial segment on slide 14, sales were up 15% and up 9% organically. We continue to drive wins across a broad set of higher growth and newer end markets, while demonstrating the value we continue to deliver to our customers. Operating margins were 16.8% and EBITDA margins finished at over 21%. Turning to the forecast on slide 15. We continue to see growth across many of our end markets. However, we expect this to be overshadowed by inventory destocking within electronics and transportation through this year, affecting both sales and margins with the volume deleverage. With this backdrop, we expect third quarter sales in the range of $570 million to $595 million. At the midpoint, we project sales to be down 12% versus last year. By segment, we expect sequential sales growth across industrial, offset by a decline across electronics and transportation. We expect adjusted EPS to be in the range of $2.48 to $2.72, which assumes a 19.5% tax rate. Slide 16 includes some additional full year 2023 color. At current foreign exchange rates, we expect the $0.35 unfavorable impact on EPS and no material impact to sales. We expect $66 million in amortization expense and $40 million in interest expense at current interest rates. We expect a full year tax rate of 18% to 19%, higher than previous projections due to shifts in earnings mix across jurisdictions. And we are modestly reducing our capital expenditures to the range of $100 million to $110 million. Dave referenced our announcement on the future acquisition of the Dortmund Semiconductor fab. As the expected close is early in our fiscal year 2025, we do not expect this transaction to have a material impact to our 2023 or 2024 financial results. Over the years, we've diversified our portfolio, continuing to pivot to higher-growth markets and increased organic investments while leveraging strong secular themes. Our portfolio expansion is helping us weather the interim cycling across certain markets and transitory destocking. We remain focused on driving our business forward in the second half, elevating our cash generation and continuing our operating margin trajectory in the high teens for the year. We're confident that our ongoing execution positions us to deliver on our long-term growth strategy. I'd like to extend my gratitude to all of our team members for their unwavering hard work and dedication. Your efforts have been instrumental in continuing to drive our success. And with that, I'll turn it back to Dave for some final comments.
David Heinzmann: Thanks Meenal. In summary, on slide 17, we have achieved strong year-to-date results. The Littelfuse business model has proven its resilience in this dynamic environment while supporting the strength of our growth strategy. This is evident in the consistent double-digit sales and earnings growth achieved over the past five, 10 and 15 years. Our expansion into high-growth end markets, technologies and geographies has diversified our business and significantly improved our profitability. Our experienced teams have refined our playbook, enabling us to effectively navigate through ever-changing environments. We remain excited about the opportunities we have ahead of us and confident in our ability to deliver sustained long-term value for all stakeholders through continued execution, diversification, and strategic investment for growth. And with that, I will now turn the call back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] We'll take our first question from Luke Junk with Baird. Your line is now open.
Trisha Tuntland: Good morning Luke.
Luke Junk: This is a question probably for Meenal. I'm just wondering if you can help animate what's underpinning the guidance in the third quarter for electronics, specifically you're signaling it should be down sequentially overall? But I'm just wondering if we look at the passive and semiconductor portions of the profile of that business, the sharp decline that seems to be implied here, is this just further weakening in passive? Or should we be thinking about semi also weakening sequentially possibly? Thank you.
Meenal Sethna: Yes. Thanks Luke. So, of course, we've been talking about all the transitory destocking that's been going on and really the bulk of what we're seeing within the quarter -- the sequential quarter, Q2 to Q3 is destocking, primarily because of the size, you see it coming through electronics, some of the passive side. And we also have semiconductors that are a little bit more passive like in terms of going through distribution, et cetera and so that's really where we're seeing the sequential down. And then, of course, we also talked about in the prepared remarks within our Transportation segment, we're expecting the continuation on the commercial vehicle side of the business and some continued destocking there as well.
Luke Junk: Got it.
David Heinzmann: Actually, on the power semi side, we actually continue to enjoy seeing growth in that business that's really kind of focused on industrial applications. So, in the kind of the balancing between the two, we continue to see pretty good strength in the power side.
Luke Junk: Got it. That's helpful. Carry after Dave. My second question, I think, would probably be best for you, Dave. And I was just hoping you could zoom out and give us a better view of the overall picture around auto or passenger vehicle this quarter, thinking on a combined basis between electronics and what's in the transportation segment? I know that you've made comments about the content growth that you're seeing, and I think that might maybe better animate the underlying trend in the business versus what we can just see for pass car and transportation? Thank you.
David Heinzmann: Sure. Happy to Luke. It's -- overall, the passenger car business remains a very positive spot for us. As we stated in the prepared portion of the remarks, we continue to see double-digit outgrowth. And while reported in transportation, specifically in this segment, we show that a 7% growth in pass car. We've talked about this before. A great deal of our growth in the electrified applications actually come from products outside of our segment reporting in passenger car. So, with that, we actually saw it double-digit. So, we continue to see -- over the last three years, we've seen double-digit outgrowth. Our design wins continue to be quite robust there. So really, when you look at the challenge of the transportation segment to really focused on kind of the destocking challenge within the commercial vehicle side.
Luke Junk: Got it. Thank you for that. And then if I could just sneak in one more question. Dave, you mentioned in your prepared remarks, sensor applications, specifically some increased demand for, I think you said battery management and drive-related applications. And I'd just be curious if you could and look at what's in your sensor business in transportation right now? I think it may be -- is something that is a little more by investors, and it would be great just to get a quick primer around what are some of the key opportunities that you're looking at within the sensor portfolio? Thank you.
David Heinzmann: Yes. Historically, our sensor portfolio within the passenger car side of the business was related to solar sensors in the applications -- in the cabins for cabin comfort and also in safety applications for speed and position sensing and that type of thing. That's been our core. Over the last year and a half or so, we've been focused heavily on how do we transition to also focus on the electrical systems as vehicles electrify. So, we have organically developed and launched current sensors that are used extensively within electric drive applications and battery management types of applications. And we have launched those and have had some nice traction in the early days there with some design wins with multinationals that will be meaningful for us over time.
Trisha Tuntland: Appreciate your questions Luke. Thank you. We'll take our next caller please.
Operator: Next, we'll go to David Williams with Benchmark. Your line is now open.
Trisha Tuntland: Good morning David.
David Williams: Good morning and thanks for letting me sneak in a question here. So, I guess, Dave, if we kind of think about the inventory rebalancing, it feels like this has been ongoing for some time. And in the electronics segment, at least the last four quarters or so, so I guess my question is, how should we think about the normalized run rate here just kind of given that maybe you've been over shipping to consumption over the last several quarters?
David Heinzmann: Yes. I -- let me start with the backdrop, but I'm not sure what normal is anymore over the last handful of years with COVID-related challenges and massive supply chain issues. But if you look back at our history, obviously, in the electronics products, we ship a great deal of our product through distribution to a very broad customer base. That model certainly does create a swing in inventory as demands increase and lead times go out, then as lead times begin to shorten and availability comes down or demand starts to soften, then there's a correction that takes place. Historically, what would be kind of normal for us there would be kind of from a peak to trough of about a four to five-quarter sort of cycle there. And so certainly, kind of about this time last year is really where we were seeing the big peaks within the electronics side of our business. So, we're clearly going through that cycle. We've been going through destocking actions by our channel partners over the last couple of quarters. We certainly saw it for the bulk of this year. We kind of expect that to go through this year to get through that peak to trough that we need to. The good news is underlying design-in activity continues to be quite robust, and we see pockets where we continue to see really good strength. Still softness in kind of consumer-facing sorts of products, but we're kind of working our way through that normal cycle.
David Williams: Okay, great. Thanks for the color. And then maybe one for you, Meenal. At the current midpoint of the guidance, the revenue profitability seems to be deteriorating about the three times that of the topline, at least on a percentage basis. How should we think about the leverage, again, whatever normalized may be, but how do we think about that leverage going forward as sales begin to rebound and you really start to see the benefits of the strategy come into play?
Meenal Sethna: Yes. No, great question and maybe going back to one of the earlier ones. I talked about the fact when you take a look at sequentially, what's happening and really where we're seeing a lot of the transitory destocking is coming through electronics, which, as we know, has our strongest margins today. So, that incremental variable -- variable margin, I'd call it, tends to be pretty strong and the upswing. And so when we see this destocking environment, we tend to see a bit of a higher decline than normal, I'd say, over that 50% mark. As part of what we do, knowing that, that's part of what we see, we quickly react to making sure that we're sizing our operations and adjusting our cost structure to really manage through that and mitigate some of that. But that's really where you're seeing some of that degradation coming through.
David Williams: Great. Thanks so much for that. And then one more, if I can, real quick. Just, Dave, you talked about the product and customer profitability optimization. Can you give us a little color on what the process is there? And maybe anything around what the expectation should be?
Meenal Sethna: Yes, sure. So, this is pretty standard of things we normally do. And especially when we talk about acquisitions and we talk about this idea of integration, this is absolutely something that we do with every acquisition coming into the portfolio. So, between both areas like Carling, which is specific to transportation, but even C&K, we'll do a lot of work in, I call it, a deep dive into really understanding the products, the mix, the customers, geographies, a whole bunch of things. Recall last year, where we normally would have done that all in year 1, we were really spending a lot of time working with customers. It was a pretty significant backlog going on. So, that was really our priority last year. Given where we are now, especially in the current environment, we're really shifting our focus to make sure we go through that assessment. And also, I would say, even in legacy parts of our portfolio, where we've seen that price/cost equation move around, we think there's an opportunity for us to just make sure that we are still on the right path and the right priority focus on that. So, that's really what we're going to be going through in the next few quarters.
Trisha Tuntland: Appreciate your questions David. We'll take our next caller please.
Operator: Thank you. Next, we'll go to David Silver with CL King. Your line is open.
Trisha Tuntland: Good morning David.
David Silver: Yes, hey, good morning. So, just a couple of areas to touch on. First one would be, I guess, China, right? So, roughly 25% of your revenues. And I think compared to expectations at the beginning of the year for a number of my companies, the development or the rebound from their lockdowns and whatnot has been less than expected. I was wondering if you could just take a minute or two and characterize how you think that your operations in China and whatnot have developed over the first half of this year and maybe your expectations a quarter or two out? Thank you.
David Heinzmann: Sure David, I'm happy to take that. And certainly, there was an expectation, I think, that as China came out of the lockdown after two or three years of lockdown environment that there'd be a pretty strong rebound in demand overall. And while I would say there has been an improvement in the pass car portion of China and kind of a bounce back a bit on the passenger car build in China, we certainly are not seeing a lot of strength bouncing back in China in the broader demand. From our standpoint, a lot of customer base that we have in Asia in general and certainly in Greater China is focused also on consumer-oriented like small appliances, tablets, laptops, et cetera, that market, of course, is down. And we have seen that for some time. We haven't seen that bounce back yet. So, clearly, I would say China remains a bit of a drag from our expectations going into the year. But I don't think we're alone in that.
David Silver: Okay, great. And then the second question, I think I would maybe characterized it as just maybe like some incremental commentary on integration of recent acquisitions. So, I think at a couple of points in the slide deck and in your comments, you've talked about kind of next steps of integration, let's say, with Carling in the auto -- or in the Transportation segment, and I believe, C&K in the electronics area. I was wondering if you could just take a minute and kind of maybe discuss from a historical perspective, how that integration has gone to date? Has it met expectations where you had the greatest success? And then in particular, maybe if you could highlight the incremental integration moves that you called out in the slide deck at a couple of points? Thank you.
David Heinzmann: Sure. I'll take that, and Meenal, you can add color if you'd like. But overall, if we take a step back and let's look at the two bigger ones, the C&K and the Carling, Carling coming first. As Meenal talked about just in the last couple of minutes, overall, the Carling acquisition is going well, and we had a very strong year last year. If you remember, our first year of full ownership, we were up 20% over the prior year under the previous ownership. And that was really a year where we cleaned up significant amounts of backlog. So, we would say year one of that integration was well ahead of our plan because of that cleanup. Clearly, it's challenged now with kind of both the challenge of not building out that backlog. And then also, we're seeing kind of inventory rebalancing from supply chain and customers that are driving a bit of a pause there. So, overall, I think it's going well. Clearly, there is the challenge as you focus year one to make sure you're serving those customers and embracing those customers to the best we can. Now a lot of heavy lifting going on with some footprint work that's ongoing as well as Meenal talked about kind of our traditional way of looking at product line and customer profitability that we're deep in the midst of now. So overall, we believe that over the next couple of years, we'll very much be on our plan for the integration of that business. So we feel good about that. On the C&K side, had some similar sort of feels to it. Last year was quite solid. But we also, in that case, see destocking that's taking place with customers there, particularly that go through the channel. As you remember, that was one of the leverage points for us with C&K is the fact that our ability to leverage our channel. So there is destocking that's taking place there. However, we're really seeing good momentum and taking C&K products to the Littelfuse core customer base. So we're seeing a lot of good cross-selling opportunity. And as you recall there, our big opportunity there is really sales synergies. And we're beginning to see good momentum there, and we feel good about that. So, overall, a few dwells on inventory sort there for actions going on, right, this year. But overall, the integration is going quite well.
David Silver: Okay, great. Thank you very much.
Trisha Tuntland: Thanks David. Appreciate your questions. We'll take the next caller please.
Operator: Next we'll go to Joshua Buchalter with TD Cowen. Your line is open.
Trisha Tuntland: Good morning Josh.
Joshua Buchalter: morning. Question for Dave. Thanks for taking my questions. I guess I wanted to ask a big picture on the destocking. Your inventory on books went down in the second quarter. But clearly, there's a good bit more to go. If we sort of disaggregate that, can you help us understand where things are at on books? And where levels are now in the channel? And I guess, if any way you can quantify where they need to be in the back half of the year for us to be comfortable that sort of wrapped up by the end of the year? Thank you.
David Heinzmann: Sure. Yes. We have both opportunities for us. One certainly is on-book inventories, and you've seen that decline through the course of the first half of the year, and we have more work to go there. And clearly, as like a lot of companies are working through as supply chains have balanced out now and ability to kind of pull back on the inventory position there to support the business, so that's ongoing. We'll continue to do work on that. From a channel destocking and cleanup that's ongoing, as I mentioned earlier, kind of typical is that four to five quarter peak to trough sort of cycle. And we're kind of halfway through it. And our view now is we expect it to kind of go as we have seen in the past, and we'll see that bleed through the back half of the year.
Joshua Buchalter: Thank you. And maybe one for Meenal. I wanted to ask about margins. They're obviously running still above where they were in 2019, 2020, but coming down as volumes come down. Has there been any change in the pricing environment as you go through this extended period of destocking? And how are you feeling about your ability to continue to pass on inflationary costs on the input side? Thank you.
Meenal Sethna: Yes. Thanks, Josh. So, maybe just -- I'll step back as this is part of the overall question. We had back in January talked about our overall company margins and the target we have for this year. I talked about the high teens, 17% to 19% average for the year, and we continue to remain committed to that. As part of that as we're going through the year, we've spent a lot of time laying the foundation around Dave talked a lot about the integration work that's going on. On the price/cost side, we -- so far, we've maintained price, and we've seen the cost balance out, some increases in some places, decreases in others. So we continue to remain neutral around the price/cost side. So, I think compared to the last cycle, which was our intent, last cycle 2019, 2020, we were running in the 14%, 14.5% margin range. So, we feel good with all the work we have done and continue to do to keep the margins in that higher target range.
Joshua Buchalter: Thank you. Appreciate all the color.
Trisha Tuntland: Thanks Josh. Appreciate your question.
Operator: [Operator Instructions] Next, we'll go to William Kerwin with Morningstar. Your line is open.
Trisha Tuntland: Good morning Will.
William Kerwin: Good morning all and thank you for the question. A lot of my main questions have already been asked. So, I think I'll switch a little longer term here. Haven't talked too much about the Industrial segment, some nice growth in the quarter. Definitely a place where some peers have been seeing some weaker performance. So, just curious what you would call out as doing particularly well there this year if you're seeing any incremental weakness? And then also, what's exciting you most for the long term out of the industrial market?
David Heinzmann: Yes, from an industrial end market, we continue to see overall strength in that end market. There is some mixed bag between different pieces of it, if you will. We see particular strength out of renewable energy and energy storage types of applications that are quite strong. We see kind of industrial safety applications also continuing to be quite positive as well that we're seeing kind of play through there. The area where maybe we see a bit of weakness that we've talked about in the last couple of quarters is HVAC, particularly residential HVAC tends to be down a bit and is a bit softer. And there may be a little bit of softness in industrial automation types of applications, but it really kind of bounces off. We're also beginning to see the kind of crosses over between industrial and electronics applications with communications and data centers as there is a push to invest in and drive AI types of installations to support the higher compute needs. We have both on the servers and the power supplies for those servers. There's lots of content for us. But also in the infrastructure of the data centers themselves and the power systems there, we have a lot of industrial play there, which we're beginning to see more activity, again, on as well there.
William Kerwin: Awesome. That's great color. And then one more for me, if I may. I know it's a small part of your business, but I think it's been a while since we've heard about the silicon carbide business for your semiconductor. So, just wondering if there's any update there?
David Heinzmann: Sure. No real change or update from what we've talked about in the past. And obviously, this is getting a significant amount of attention from the large semiconductor players, particularly for our traction drive applications and EV applications where there's billions of dollars being invested to support that. That is not our core market. That is not where we're focused. We do have a silicon carbide offering that's part of our more industrial-focused power semiconductor business. And we do see design-in activities there and things like renewable energy, some off-board charging types of applications and things. But we just have that as an offering as a part of our broader portfolio. It's not an outsized investment area for us.
William Kerwin: Thank you.
Trisha Tuntland: Thank you, Will. Yes, appreciate your questions. We'll take our next caller please.
Operator: Next, we'll go to Christopher Glynn with Oppenheimer. Your line is open
Trisha Tuntland: Good morning Chris.
Christopher Glynn: Thanks. Good morning Dave, Meenal, Trish. Dave, I was intrigued by your comment around accelerating rate of new business wins, design-in activity. Is there any way to quantify that, maybe ratios or otherwise? Is it oriented more to your actual win rates or proliferation of opportunities? Thank you.
David Heinzmann: Yes, I think it's kind of -- obviously, we track design and activity as a key metric across all of our businesses. So, we made kind of general statements about that where we're seeing those design-in activities, I think particularly on the electronics side. But overall, if you look back over the last couple of years, engineers and our customers' engineers have spent an awful lot of time on redesigns to get better sources to keep their operations running and things like that, which kind of backed up some of the new design activity that they wanted to do. Well, that's free back up, but the engineers are very engaged in that. We're seeing a lot of activity there. So, increases in activities and design in and design wins for things like renewable energy, power conversion types of applications. So, on the industrial side of things, quite robust. Also on the pass car side, we don't share every quarter what we're doing on design wins there, but we're actually a bit ahead of where we were last year in design wins. We had a robust year last year in overall pass car design wins and we're actually a bit ahead of that this year. So, we feel good about the activity. And it's easy for us sometimes to kind of internally get turn in towards the challenge of the near term, but the reality is the bulk of our activities and our people are focused on the long-term gains, and we're seeing really good progress there.
Christopher Glynn: Great. And then a follow-up. On the Dortmund acquisition, I know closing is a little way out, but any kind of indication on the scale of investment or run rate even in generic terms like small, medium, large?
David Heinzmann: So, obviously, that's an acquisition that hasn't closed yet. And it being a maybe an atypical acquisition for us in some ways, it's an area where we're really focused on supporting and accelerating our activities in the power semiconductor for industrial applications, power conversion, renewable energy, these sorts of areas. And so we have agreed upon with Elmos a capacity sharing application over the next few years as they move some of their products out to other facilities, we'll begin the activity of porting in some of our designs and developing new products that we launch within that fab during that transition period. So, it will be a meaningful impact to our power semi business over the next several years. As a company, I would say it's more of a small sort of investment that really -- it's really focused on solidifying that power semi portion of our business.
Christopher Glynn: Great. Thanks for that.
Trisha Tuntland: Appreciate your questions Chris. We'll take our next caller please.
Operator: Thank you. Next, we'll go to Matt Sheerin with Stifel. Your line is now open.
Trisha Tuntland: Good morning Matt.
Matt Sheerin: Yes, thanks. Good morning everyone. I do have a few follow-up questions. Just on the inventory correction within electronics, Dave, could you give us an idea of what the inventory days at your distribution partners look like and what the book-to-bill looks like?
David Heinzmann: Yes. And let's start with kind of days. And normal for us kind of on average across both our broad line distributors and high service distributors, normal for us would be in that mid-teens weeks of inventory. And so that's kind of normal. Right now, I'd say we'd be running three to four weeks heavy on that. That's less than we were a couple of quarters ago, and we're seeing month-by-month reductions in that inventory level. So, it's kind of going as expected, I believe there. So we're working our way through that, and I think that will be a positive.
Matt Sheerin: Are there -- do you know what the point-of-sale or POS sell-out numbers look like relative to your sell-in? Is that starting to soften as well?
David Heinzmann: Yes, there's pockets of it, right? So there's areas where the POS is hanging in there really well, and there are pockets of applications where that's softer. So kind of our view of how things are going is based upon what we see as current POS levels. So, underlying POS remains pretty good. So we continue to kind of watch that carefully.
Matt Sheerin: Okay. Thank you. And your book-to-bill is still negative, I imagine?
David Heinzmann: Our book-to-bill is below 1, and that's a combination, right, of a couple of things. One is this inventory destocking that's taking place. The other is, as we've worked our way back, our lead times on almost all products are now -- have moved to pre-COVID levels of kind of normalized lead-times. So, every time we pull those back, that drops orders. And so that kind of -- between those two things, certainly, it's running below one.
Matt Sheerin: Got it. Okay. And just a couple of modeling questions, Meenal. It looks like sort of backing in based on your EPS and revenue guide, it looks like operating margin is going to be sort of in the low 15% range with lower gross margin sequentially. From an OpEx standpoint, are there any plans to reduce costs? Or are you going to hold steady here based on where you were?
Meenal Sethna: Yes, great question. So, just circling back, we don't guide, of course, to operating margins in an individual quarter. But what I would say stepping back from one of the earlier questions, we're still committed to that high teens margin range we talked about for the year. At the same time, we may have quarters, right? Some might be on the higher end, some may be at the lower end or even below that. So, we know that there's going to be a balance there. In terms of actions we're taking or things that we're doing, especially in the businesses where a lot of discussion on the transitory destocking, we're absolutely looking at cost, whether it's interim costs right now, variable costs that we can look at or even just the cost structure as we think about businesses. So especially across the electronics side, we've talked a little bit about on the transportation side. We've got work to do around the Carling integration. Dave and I both talked about that. We're looking at the customer and product line profitability. And absolutely, we're also looking at cost structure in that business. So, a number of different things going on to make sure that we continue to invest in the business for the future because we know this is transitory. But I'd say also tighten up our cost structure for the environment that we are in today.
Matt Sheerin: Okay. Thanks for that. And I appreciate that you don't give specific guidance for the year. But I know seasonally, your electronics business is usually down sequentially, and I would expect it to be perhaps more than that with this inventory correction and then transportation kind of same thing. So, in terms of kind of how margins look like in Q4 and when they expect to bottom, would you expect Q4 to be down from Q3 in terms of margins and revenue?
Meenal Sethna: Yes, at this point, right, we gave you the visibility that we have, right? With the Q3 guide talking about really build electronics, we expect Q3 to be sequentially down, a little bit also on the transportation side. A lot of that really coming because of the destocking. After that, I'll even go back to what Dave made a comment earlier about it's tough to pinpoint the normal anymore. So we're not offering a sequential view or really have enough there. But again, I would say in our prepared comments, we talked about destocking going through this year.
Matt Sheerin: Okay. Thank you. And just lastly, on the automotive or transportation margins, which are lowest level in many quarters. Is it really just the matter of the volumes or also getting synergies from the acquisitions and getting costs out and you're still committed to that mid teams, but it looks like it's going to take a while to get there. So, what's the timing of that?
Meenal Sethna: Yes. So, maybe just a little bit more color on Q2 and the past forward for. So, absolutely, in Q2, some of the comments, the destocking that we saw in the commercial vehicle side of the business definitely higher than we were expecting. You saw it in our sales, you see it in the margins. I'd say that was probably a couple of hundred basis point margin impact. So, just flat out right there, we would have been at a -- had we been able to take out that destocking, the margins definitely would have trended where we expected. I'd also say the Mexican peso for us because Mexico is such a big footprint, a manufacturing hub for us, we saw a pretty sudden strengthening in the peso last quarter, pretty unexpected and that also hampered margins a bit, maybe 100 basis points. So, that was a little bit of a color. I'd say outside of those, we would have seen absolute margin projection expected in that trajectory. So I talked about earlier, look, we're looking at costs. We're looking at footprint work that we're doing, which includes some of the activities that Dave mentioned as it related to Carling. We're also across the automotive business, it's really been now four years of car build that's in the upper 70s or lower 80 million build range. So, we're also looking at the footprint that we have for automotive and maybe scaling that back a little bit. And then I also talked about that customer product line profitability that we're working on, especially with the newer parts of the business. So, I think the combination of all that, we continue to expect that margin trajectory moving forward, positively moving higher, and we're still committed to that mid-teens margin range for transportation. Yes, it will take us maybe a little bit longer than we were expecting given the destocking, but we're absolutely committed to that.
David Heinzmann: Matt, I think it's important to take a step back overall, right? And take a look at overall performance of the margin profile in the business through the course of this year, which we still believe to be for the year in the high teens. When we take a look at that versus previous cycles, when we've been in the debt of previous cycles, we've been in that 14%, 14.5% range. That has improved meaningfully really with our strategy to diversify the mix of the business in the end markets we're serving, execution across the businesses. And by the way, that's at a time -- we've made some sizable acquisitions over the last couple of years, which overall is about 200-point drag on corporate margins. So, seeing that overall improvement even while digesting these sizable acquisitions. So I think, generally, we're moving off in the ability to execute through the bottom side of the cycle.
Matt Sheerin: Got it. Okay. Thanks for all that. Appreciate it.
Trisha Tuntland: Thanks Matt for your questions. We'll take our next caller please.
Operator: Next, we'll go to David Williams with Benchmark.
Trisha Tuntland: Welcome back David.
David Williams: Hey thanks for letting me ask another question. Meenal, I just want to ask quickly on the cash cycle. It looks like that peak maybe last quarter and it come down a bit this quarter. But just kind of thinking about your internal inventory levels where you're comfortable, where do you think that number should be as you're thinking about working capital and just getting that right size on your internal inventories? Thanks.
Meenal Sethna: Yes. So, there's a lot of work that our teams have been doing around inventories. Our days right now are somewhere in about the 120, 130 days. I would expect that over time, as we continue to work that down, we get back closer to the 100-day mark and even lower over time. That's really where we were pre-pandemic as we adjust our -- as we think about adjusting our supply chain. I think the other thing I would add is some of that also comes with acquisitions, right? Typically, a big part of our synergies also come from working capital management, whether that's really the focus around day sales, DSO, and inventory level. So, that's all the work that we're doing as it relates to areas like the C&K and the Carling acquisition. So, absolutely, we're making good progress and more to go on that.
David Williams: Okay. Thank you.
Trisha Tuntland: Appreciate your follow-up question, David. That concludes our Q&A session. Thank you for joining us on today's call and your interest in Littelfuse. We look forward to talking with you again soon. Have a wonderful day.